Jason Boyes: [Foreign Language] Hey, everybody. Welcome to Infratil's Half Year Results Presentation for Financial Year 2026. I'm Jason Boyes, the Chief Executive of Infratil. And I'm here with my partner in crime, Andy Carroll, the CFO. Welcome, Andy.
Andrew Carroll: Good morning.
Jason Boyes: We're going to talk through the presentation that's been released to the NZX and ASX this morning, along with other materials for our half. And then there'll be questions as usual -- time for questions as usual at the end. So let's get into it. Excellent to be speaking to you today on the half just gone and how we feel about the half and further ahead. In short, we feel good with recent contract wins and progress on our strategic initiatives, and strong demand for more data centers and power to run them. The portfolio is extremely well positioned for growth, including the big guns CDC and Longroad and also Gurin and potentially Kao poised to join that acceleration. Those big guns have driven the half also with their strong contracted growth starting to come through in earnings with more to come. And when New Zealand has done a good job too in a challenging domestic environment. So with that introduction, let's go to the highlights, which should be on your screen now. Actually, not too much new news in the announcements today, but one at top here announcing signing to sell our stake in FortySouth, our towers business, and our old New Zealand bus property in Halsey Street there in Auckland. That's in line with our strategic objective to sell a billion of assets that we feel can't scale to be meaningful in the portfolio, alongside the sale of RetireAustralia that we announced earlier in the year. We're over halfway towards our target with a strategic review of our investment in Qscan already announced that would finish the job, and that we expect to progress in the next half. Secondly, on this slide I want to call out, Andy will talk to the numbers more shortly. Some puts and takes as usual between different assets in the portfolio, but pleasing growth overall, that 7% increase and proportionate operational EBITDAF compared to the same half last year, in line with expectations. I think when we look at the other key things that happened in the half, digital and renewable energy thematics are stronger than ever as data and electricity demand continues to accelerate across multiple markets. You've got that 140 megawatts of contracting that CDC is announced in the half actually since our Investor Day in September event and Longroad has continued to push ahead with an exceptional volatility in its market, commencing construction of a further nearly 1 gigawatt of capacity, talk about our move on Contact Energy that we've already announced and the strong sustainability results. Later, I might hand to Andy for some highlights on the financial side.
Andrew Carroll: Yes. Good morning, again. So this is a new slide just summarizing 3 key financial metrics and a quick snapshot. In terms of highlights, operational proportionate EBITDAF continues to grow with one around 60% that you can see CDC and Longroad are growing strongly. Proportionate CapEx of over $1 billion reflects continued material investment, particularly within our growth engines of CDC and Longroad. And our asset valuation has now reached $19 billion, materially up on the first half last year with a significant transaction-based uplift in CDC's valuation. Value increases in the last 6 months have been more modest with nearer-term growth effectively captured in last year's uplift.
Jason Boyes: Thank you, Andy. Let's go through that portfolio. Let's start with the big one, CDC, a good result up on the previous comparable half as another 50 megawatts or so of -- in construction reached operations and starting to be billing. The big news in the period, as I said before, since our Investor Day in September has been 140 megawatts of new contracts announced. The large AI contract still the limelight, but CDC isn't a one trick pony and is seeing strong growth across all its customer segments with wins in government, critical infrastructure and cloud as well. So don't forget those. Looking at the half and its ability to win and be relevant in these new contract discussions, CDC's flexible infrastructure deserves a callout. It's proving beneficial, being able to scale efficiently as computing weight and density increases and also permitting and social license issues that are faced by data centers that use significant water. Remember, CDC is calling with a closed loop liquid cooling system. So that is, as we've talked about in the past, still very relevant. Looking ahead, those contract wins I mentioned, underpin our targeted doubling of EBITDAF by 2027. And expect to see a further step-up in EBITDAF from the following year as the full impact -- full year impact of those contracts come through, so that momentum carries through. We mentioned at our Investor Day that the timing of those new contracts mean CDC was tracking towards the lower end of the guidance range this year, which is confirmed here as well. Looking further ahead, with the strong demand I mentioned, CDC is engaged in multiple opportunities with existing and new customers for significant additional capacity. So we see further growth from here. This is going to be supported by the existing significant build program we talked about on this slide, still 450 megawatts coming to completion. Expansion opportunities for intensification of current and planned developments essentially squeezing more megawatts into the same building envelope. That's part of that flexible infrastructure I talked about before. And of course, CDC is already deep and diverse pipeline of potential data center sites. CDC is accelerating its own investment to prepare for and meet that demand with CapEx guidance increased $300 million to $400 million to the AUD 1.9 billion and AUD 2.2 billion we have on this slide for this year. And we expect the CDC equity raise, we've talked about for a while now to take place in the next half. AUD 250 is Infratil's share and that will reinforce CDC's significant debt capacity to complete its planned growth. All those data centers need power, and that's where Longroad is seeing strong demand. A strong half of delivery, though from Longroad through the exceptional volatility of the tax reforms we talked about at the full year, with EBITDAF more than doubling versus the same period last year as over 1 gigawatt of new projects came online. They are on track to reach their target of 5.5 gigawatts of operating and under construction projects by the end of this financial year. And also in the half, they signed revenue arrangements for a further 200 megawatts of future projects to that demand that we talk about starting to come through. The U.S. tax credit reforms that dominated the discussions at our full year results, as I said, are nearly complete or 1.3 gigawatts of the 2025 projects are qualified for tax credits, with a further 6 gigawatts qualified that could meet the in-service date of 2029 required to get access to those credits, which is essentially equivalent to our 1.5 gigawatt per annum target out to that date. We're looking to qualify more than another 2 gigawatts of projects between now and when the qualification window closes next year. Looking further ahead then, we are shifting Longroad's guidance up $10 million to that $120 million to $130 million we mentioned here, that's U.S. dollars, largely from the Serrano project coming on earlier than forecast this year. In the next half, we see another solar project Sun Pond coming online and a further 400 megawatts of construction set to commence. Looking further ahead, as I've alluded to, demand signals remain really strong, what Longroad described as a generational growth opportunity at our Investor Day. That's driven by data centers, of course, but also reshored manufacturing in the U.S. and their pipeline is well placed to address that demand and the business is well positioned to execute on its 1.5 gigawatts per annum target over the next 3 years. And even though achieving that will be a lot of work in itself, we do see the potential for upside beyond this, as momentum in the market and the business continues to build ahead of the solar and wind tax credits running off in 2030. I'll hand back to you, Andy.
Andrew Carroll: Thank you. 1, so the team is doing a really good job of delivering in challenging market conditions with the market-leading offering. So you'll see revenue is up $14 million from the prior period, but strong growth in mobile in procurement and other offsetting declines in fixed. The standout on the slide is the continued growth in mobile revenues with notable growth in consumer postpaid connections in postpaid ARPUs overall. All -- and SpaceX have been valuable differentiators. Handset sales showed good growth, reflecting improved trading momentum in strong mobile activation. Key elements within wholesale and Eon are progressing well, with One NZ taking strong share of MVNO growth from onboarding and growing connections with a couple of new partnerships announced recently. The challenging areas remain challenging, enterprise and fixed. It is the One NZ in team covered at our Investor Day. While the enterprise pipeline is stronger with good wins on the back of this basic offering, like the Department of Conservation, we continue to see aggressive competitor discounting. EBITDAF performance for the first half is down relative to the prior period and that reflects the circa $25 million of discretionary OpEx spend on strategic initiatives that I talked about at the full year, but cash flow has improved and is an area of continued focus. Moving to outlook. There is no change in either of our EBITDAF or CapEx guidance, so that's confirmed today. We are expecting a stronger financial performance in the second half as talked to at our Investor Day, reflecting seasonal trading and the benefit of first half price increases flowing through to the second half. In terms of strategic programs of work, T-One is progressing very well with Phase 1 prepaid complete. SpaceX is also performing very well, more than 6 million texts have been sent, and it's delivering great coverage, productivity and health and safety benefits. And now we're looking at base voice calling. Our confidence in the AI opportunity is growing with benefits being realized across many areas. This has included AI for network reliability, cybersecurity, detecting schemes and fraud and improving customer service. For those of you still running around with old handsets, hopefully no, not too many on this call. Another reminder of 3G shutdown from the end of 2025. That closure will provide through the simplification and cost benefits and free up network capacity. Medium term, we continue to note our intention to continue to grow EBITDA margins to the mid-30s, with reduced capital intensity and improved cash generation. And you'll see on the bottom right there, the very smart new premises that the team moved into 10 days ago. So that should be great for customers and staff in Auckland, on time and under fit our budget. So a nice job team. Back to you, Jason.
Jason Boyes: Thanks, Andy. Yes, nothing worse than getting the 3G come up on your phone. I won't miss that in future. Let's stick with New Zealand for a bit and turn to Wellington Airport. These results have been out for a while. So only a quick comment on track performance with the team working hard to offset economic and domestic capacity headwinds upon one intended in Wellington. Good lift in international shows demand is there for capacity, though, and the headwinds will abate eventually and they're getting ready for that with the car park and terminal upgrades and the EMIS being installed. Always working on expanding international further ever since I've known Matlack, that's been top of his mind. I've announced this MoU with Guangzhou, which the base force China Southern, and I hope to see a China Southern tail and Wellington at some stage once the EMIS is in place. Diagnostic Imaging, a bit of a mixed bag here in New Zealand, a difficult half with a lower-than-expected margin mix of scans coming through, which means their guidance is coming back a little bit to be flat year-on-year. Improvement initiatives are underway, including a new clinic coming in Dunedin across the Tasmania Qscan, double-digit growth in guidance unchanged, so a good performance there. Also happy to announce today that both our New Zealand and Australian businesses are collaborating to separate and consolidate their teleradiology businesses into a new stand-alone business. So this is literally radiologists in front of computers reading scans that are taken elsewhere, maybe urgent scans from hospitals or overflow work from bricks-and-mortar businesses. So that's been consolidated into a new single business. We expect more efficiency and growth with a dedicated focused team and immediate scale in the space through this consolidation. Being less capital intense, these businesses tend to trade on higher multiples as well. Quite a lot of work I know between the teams to get to the stage and looking to complete the establishment of that by the end of the year. On to renewables, back to them for a second. On Contact Energy, we were pleased to acquire TECT's 4.9% stake recently with a mixture of cash and fiduciaries shares, increasing our overall stake to 14.3%. This fits our strategy of seeking scaled cash flow-generating businesses, while also giving us more financial flexibility as a relatively liquid-listed holding. We like context outlook too with synergies from integrating Manawa to be realized in interesting development options ahead. What about Gurin, you're going to do this, Andy?
Andrew Carroll: Yes. Thank you. As given the nature of the business, there's not a lot of news relative to the update that aside provided in September. You can see that the first solar plant in the Philippines is beginning to make a revenue contribution and Gurin has recently bought a wind and solar project in South Korea from a European developer. For Vanda, the key milestone remains approval of the export license by the Indonesian government. The team is right into detailed planning work with RFPs for the construction of the project assets currently in market. And we're targeting a final investment decision for this project around the middle of the next calendar year. Thanks, Jason.
Jason Boyes: Nice one. Turning to Europe. Galileo is never getting a tricky market. There's an update here. But demand across the market is still affected by the war and a large data center build-out is not arriving as quickly there as it has in other markets. I would say that the medium-term outlook is as strong as anywhere. That will arrive. But in the meantime, the team is allocating its capital carefully to the most meaningful projects it has like this offshore wind one mentioned here, and they've got other interesting wind projects in battery and also some modest build like this, the first project in SLE. And lastly, or at least next to Europe, Kao Data. Although data center build out is more modest in Europe than, say, the U.S., demand has increased really markedly, since last financial year, which we talked about in May and in a much more tightly constrained market than the U.S. So an increase in demand with not a lot of supply is creating quite an interesting environment. Kao Data is well placed with over 20 megawatts of near-term capacity and interest from a number of parties that would see all that capacity contracted. This would be an exciting step change for the business and unlock debt capacity for further growth. On that positive note, go to the numbers.
Andrew Carroll: Thank you. Right, a few numbers. So proportion of EBITDAF, $514 million for the half, that's up 7% on the prior period. You'll see most of the uplift comes from CDC and Longroad, reflecting the growth of the operating assets. Proportionate development EBITDAF was up 15% on the prior period, which reflects the growth of our development platforms. Proportionate CapEx was down slightly, but there's still very material CapEx spend occurring. A quick bridge on independent valuations. I touched on this earlier. It's been relatively modest growth in the last 6 months following a material uplift in CDC's transaction-based independent valuation in the previous period. The biggest movements relate to CDC, but part of that reflecting our additional investment. Manawa and Contact swap positions with some uplift in the Contact valuation plus $180 million of cash proceeds, which isn't reflected here. Longroad is up $160 million across the period with some of the drivers noted in our disclosures today. And on the downside, we've noted -- we've reflected our RetireAustralia sale price in this bridge and the decrease in RHCNZ's latest valuation performed by a new valuer and reflecting a range of factors, again, as covered in the disclosures today. Funding capacity. This is an update of the graph that we showed at Investor Day with the announced divestments bar growing. We have material funding capacity available to us. Dividends. We are declaring a partially imputed interim dividend of NZD 0.725. We are signaling an intention for an uplift in the final dividend to deliver annualized dividend growth of circa 2% per annum, subject to the usual provisos. We continue to operate the DRP with a 2% discount. And I will also stop to ref guidance. We've summarized a few changes in EBITDAF guidance here, which we have touched on as we've run through the peak today. To recap, as we signaled at Investor Day, we expect CDC to land at the lower end of FY '26 guidance. So we've tightened the range to reflect that. Longroad guidance is up, largely reflecting the early delivery of Serrano. RHCNZ guidance is revised downward, which Jason touched on and corporate guidance. Corporate cost guidance has increased reflecting a mathematical impact of an uplift in Infratil share price on management fees. In net terms, we remain within our previous guidance range before we adjust for the divestments of RetireAustralia and FortySouth. So taking all of that into account, we've got an updated range of $960 million to $1 billion. We're tightening up our expected proportionate development expenditure range by $5 million. So the revised range is now $85 million to $100 million. And on CapEx guidance, the net effects of an uplift in CDC's guidance and removing our divestments leaves our proportionate CapEx guidance range unchanged at $2.2 billion to $2.6 billion. Funding and liquidity usual update on the facilities and quality position. The one thing that's new is that we've made slight change in the leverage metric that we're reporting. So we've moved to a loan-to-value metric, which we think is more relevant than our previous measure. And as I've noted a few times we're in a strong financial position with considerable flexibility to support further growth. Back to you. Thanks, Jason.
Jason Boyes: Thanks, Andy. Let's finish up. First, here's an updated view of the 3 pillars of the portfolio. We introduced at our full year results in May with RetireAustralia and FortySouth removed know that those sales are still conditional and to complete. And if you remember that sort of pillar approach led us to these 4 medium-term strategic objectives, which are set out here. Most progress in the half on divestments, as we've said, but directionally, at least also on our operating cash flow, and these 4 KPIs continue to be our focus. Next, sustainability. Where our work is turning up in tangible results with strong GRESB as we call them, outcomes. These are the people who rate private real asset businesses for their sustainability work. Infratil's management score was the first out of 135 peers and One NZ performed well winning medium-sized Company of the Year at Global Sustainability Awards. This flows through importantly to global listed indices some of which are here with our Sustainalytics rating among the best in the world, and we're also committed to progressing our SBTi target, and we'll continue to report on that as we have here. So let me wrap-up and we can go to some questions. With increased investment in Contact, strong progress on divestments, growing operating cash flow, as I've said, that is all underpinning Infratil having significant financial flexibility to invest for future growth. Longroad and CDC both have strong contracted growth profiles, with material earnings expected. You can see that in this half starting to come through as development sites convert to operations that will support distributions from them in the future, hence my first point. AI represents significant upside potential from that already attractive growth. And Longroad and CDC are well positioned to capture that through strong track records, deep pipelines and financial flexibility. As I've said, CDC has multiple opportunities with existing and new customers for significant additional capacity, while Longroad could push beyond, it's 1.5 gigawatt per annum target in the future. Gurin is poised to join its scale as we have reported and maybe Kao is well positioned as well. We're a high conviction on these opportunities. And I said at the outset, we feel good about them. But we'll continue ways to position the portfolio for long-term growth, scanning as we always do for attractive new growth pillars as well. So I'll finish there and go to questions, please. Harmony?
Operator: Your first question comes from Eric Choi from Barrenjoey.
Eric Choi: Maybe I have 2, if that's all right. Just a long-winded first 1 on CDC. You've got a qualitative comment in there at the run rate for FY '28, it's pretty good. I was just wondering, if there's kind of multiple ways to triangulate maybe even a potential $900 million-plus [ EBITDAF ] outcome. If we think about the Investor Day, Greg was saying the growth trajectory will continue beyond FY '27 and then in FY '27, you're going to grow EBITDA kind of $270 million. If you just annualize your 140 megawatts of recent contracts that's left with a $100 million benefit by itself. And if you look at your kind of CapEx bill, you'll have sort of 825 megawatts growth and maybe that 600 megawatts IT low, but even kind of assuming a sub [ $2 billion ] per megawatt number could suggest $900 million as well. So all kind of points at [ $9 million ], plus. Sorry, Jason. Is that ballpark?
Jason Boyes: I think I'm following you. Yes, yes, I think I following you. I'm just running that through. The -- I think -- how do I put it? I think $900 million is possible. And I think the way you're constructing the maths is sensible. But it's not by no means in the bag, right? We -- that would require additional contracts, which we're working on. And we'll be updating on where we've got to on all of that, certainly by the full year. But I think the way you're constructing the math is sensible. A couple of maybe comments just listening to you now. In terms of the EBITDA per megawatt, I think it is sensible to be conservative overall, but around that because what you see, I think, going forward, and it's maybe a little bit missed to date is the densification that we're seeing with new contracts coming through means that your ROIC on some of those contracts is exceptionally good, even with a lower per megawatt kind of assumption around it. So if you're tracking for an EBITDA number, then I think some conservatism is sensible. We are very IRR and ROIC driven, so you can be assured that we're driving to exactly the same underwriting standards we've talked about in the past that kind of mid-teens plus. That's possible -- one way that's possible in this environment is that very strong densification we're seeing squeezing more megawatts into the same space. Does that help?
Eric Choi: Got you. It's very, very helpful. Actually, can I do one more then, maybe just a segue from your comment on maintaining returns. But obviously, the new information is a bunch of the Neocloud deals being signed in the sector. So just listening to what Firmus has to say, they're sort of saying they've got a gigawatt plus commitment to CDC. So I just wonder if -- if you can tell us or give some color on how their rights of first refusals work at Firmus and Neocloud terms, at least as good as hyperscaler terms and maybe hyperscale is a view very favorably by wind. I just wonder how lenders view Neocloud versus hyperscalers as well?
Jason Boyes: I can give maybe some general comments. I don't like talking about individual customers, although on that particular one, Firmus. So the committed, committed is $40 million, but I think we're very clear on that on the CDC side. But having said that, Greg is personally very keen to lean in for the Australian company, he's founded to support other Australian companies like Firmus develop what he thinks could be an important export industry in the future, and I think Firmus agree. So they'll be leaning in to try and support their growth in the way. I think Firmus is describing to you having just listened to what you've said there. But having said that, as I said before, we and CDC haven't changed our spots on how we underwrite the type of contractual profile we need to see underlying customer mix, et cetera, is all still very important that we've got very comfortable with the contract we signed. That sort of stuff doesn't been overnight. The usual due diligence is done. Firmus has a good track record, in particular, of providing these services globally and the underlying customer mix. They already announced themselves and NVIDIA is there, all goes to support the credit profile that we look at. And I expect going on to the second part of your question, we are the debt providers are, we don't have insight into their particular debt arrangements. But as part of our kind of scanning for AI bubble type stuff, one of the big things we are focused on is underwriting standards for credit in the space. And what we have seen so far suggest actually very sensible underwriting, where you're seeing underwriting of debt shorter than useful life, shorter than contracts from creditworthy counterparties and payback periods, all still looking reasonably robust. Now we don't see the whole market, but that is I guess, a comment on exactly what we're looking for to assure ourselves that underwriting standards aren't slipping and people are getting ahead of themselves, which we haven't seen yet.
Operator: Your next question comes from Ben Crozier from Forsyth Barr.
Ben Crozier: Just a couple of questions for me. First, just on the densification you're talking about on the data center side of things. So what exactly does that look like? Can you guys sort of give a little more example, is it going through to some of the older data centers built 10 years ago and up in the megawatts. So what's sort of required from that point of view? Or is it just sort of the ones in the pipeline saying you're looking at them now and saying maybe they could be more megawatts than what you have sort of indicated previously?
Jason Boyes: At the moment, the latter, yes. So it's stuff in the pipeline that's been built, yes. Yes. Yes. Greg would say all of the infrastructure can scale, et cetera, et cetera, but we're not banking any of that in yet.
Ben Crozier: And then just on sort of free cash flow. If we look at both Wellington Airport and One NZ, sort of free cash flow was below what you've had as distributions back to inventory over the last sort of 12 months particularly in this first half for One NZ. What do you think a sustainable level of cash flow coming out of these entities? Is that what you've distributed now and that these companies have to grow to that level? Or is it, you're just looking at these as the moment you've got a bit of a mismatch as you've alluded to at the current level, and this is just a reallocation of capital, sort of levering up those entities? Or do you think that, say, One NZ and Wellington over time can grow to this current level?
Jason Boyes: Yes, I understand the question. Do you want to cover it, Andy?
Andrew Carroll: Yes. Thanks, Ben. I mean we are looking for growth from both in terms of the recipe to get there, that medium-term guidance or outlook that we've talked about for one is material to that. Wellington Airport volumes, pricing, yes, we're -- again, we're expecting more from Wellington Airport through time. And then if you look at the other assets, we can you reasonably expect a material uplift in operating earnings at the CDCs and the Longroads, probably more the CDCs, but we've seen the operating earnings grow in this period. So that's the sort of medium-term picture if that helps.
Ben Crozier: Yes. That's pretty clear. And maybe just last one on One NZ. Obviously, mobile growth is still pretty solid, but it is becoming a bit more reliant on price growth in the connections were slightly down year-on-year. Do you think over the next few years, you can stabilize that market share, you obviously been a little bit under pressure from just 2 degrees discounting. Is there things you're actually doing in market to sort of improve market share, increasing marketing or anything?
Andrew Carroll: Yes. I mean that's always the aspiration that there is a balancing act. Isn't there between price increases in market share. I think the team is doing a really good job of managing that balance. Would we like to see more prepaid growth? Yes, we would. Now with those customers and the new stack, we think we've got greater flexibility in terms of how pricing constructs are created. So watch out for that, but it's a continuing area of focus. But I think the team is doing a really good job in a challenging market.
Ben Crozier: Is it all price? Or is there a mix? Sorry to ask a question?
Andrew Carroll: Yes, that's right. So thank you. So there is mix in some of the growth in consumer postpaid has come from prepaid. So I think we would say the quality of the mobile revenues are improving through time.
Operator: Your next question comes from Phil Campbell from UBS.
Philip Campbell: Just a few questions for me. Just on CDC, just talking to a number of the Australian data center operators recently. They're kind of indicating there's been like an inflection in demand, quite a substantial increase in the demand in the last 3 or 4 months, which is kind of what you're alluding to as well. So I was just wanting to get your view, Jason, on kind of what's driving that? You did say it was across the board, but I was just interested in getting your views on what's changed in the last 3 or 4 months has actually driven that? Then the second question was just on the Neoclouds. You kind of alluded to a little bit, but I'd just be interested in kind of what you include in your contracts to try and mitigate any kind of credit risk around some of these smaller or newer players? And also to what extent kind of NVIDIA plays a role on that. And then just the last question on Longroad. I just noticed that there was a bankruptcy of a reasonably large solar developer in the U.S. I know at the Investor Day, we were kind of talking with the guys and that we're expecting a number of the smaller guys to probably find difficulties there. But was it going to be an opportunity for Longroad? But I was just interested in your views, if you had any intelligence as to what's gone on there. And again, I'm assuming there's kind of an opportunity for Longroad?
Jason Boyes: Thanks, Phil. Take those in turn. So inflection in demand, it feels consistent with what we were communicating at the full year actually, which if you recall, was that the demand we were seeing in June hadn't really gone away, but it had shifted to where it was coming from. So while go back all the way last year, hyperscale was doing all the work. In May, we were seeing more or less the same demand, very strong, but coming from multiple pockets and you can sort of see that happening globally as well through different people, building the infrastructure that is largely going back to all the same uses, whether it's your Open AIs or Meta or other uses like that. So I think it has been very strong since that period we're talking about in May and quite an inflection after that kind of period earlier in the year, while the market was transitioning to where it had been 12 months before to the state we're in now. So very positive. And I think the good thing from a data center operator perspective is you're able to have, as I put in this presentation, multiple concurrent conversations with multiple people, so that if one falls away, there's -- there are multiple people who you can still talk to about. None of it's in the bag, I would say, the demand is good. But a lot of the workload is globally oriented. So this is a key moment for CDC's business, Australia and New Zealand as countries, I think, to get on the front foot to get its fair share of it. And you can see CDC trying to do its best there with accelerating CapEx giving us pipeline in order, cranking its infrastructure to provide as much capacity near term as it can possibly be provisioned to do because that is still the key definer of whether contracts can be won your time to market. So that's a little bit of color on demand, I think still strong as we felt in May. On credit risk, it's difficult to go into detail on specific contracts or even generally given that we've only announced one. So -- but I would say that we haven't changed our underwriting standards. And key things for us are underlying customer mix. Obviously, an NVIDIA being there as a customer, in particular, is obviously material to an underwriting case. And more broadly from a CDC perspective, there's definitely a desire to help Australia get on the map here, but that -- building that relationship with NVIDIA is a key strategic plan for us as the key player in the space for a long period of time. So all of that goes into the mix. I think the densification is probably a little bit overlooked as well, as I said to Eric, Neocloud tend to deploy a much higher density. So your capital employed or capital risk is quite a different equation as well. All of that then goes into the next to come up with an underwriting case that we can support. Last one, smaller platforms in the U.S., M&A has got really busy in the U.S. renewable market for sure. People are selling interesting projects, smaller developers coming to the market under stress and knowing there's an opportunity and not a 1 million buyers either. So the team is very active. We're quite active on quite a big portfolio, which we lost to someone else. So the team will pivot to something else, but I definitely think those opportunities are coming up in this next period, partly what we're saying there's the kind of potential for upside here even if it's still early days in the business -- and the market is building momentum towards that 2030 date. I think that's covered at all hopefully.
Operator: Your next question comes from Grant Swanepoel from Jarden.
Grant Swanepoel: A couple of quick ones. Your proportional EBITDA, you're saying that it's broadly unchanged at related adjustments. Over the last 3 months, translational currencies have moved against New Zealand by about 5%. What is your outlook for New Zealand dollars in terms of what you've got in your forecast?
Jason Boyes: Andy?
Andrew Carroll: Well, I think we've noted the exchange rates, Grant.
Jason Boyes: What do we have?
Grant Swanepoel: Okay. So actually, it's a softer outlook to EBITDA in New Zealand dollar terms or in high currency terms, if the translation covers softer outlook.
Andrew Carroll: It's a very modest sum.
Grant Swanepoel: Second question, just on your now at half pregnant stake more half pregnant if there is such a thing on Contact at 14-odd-percen. Can you give -- where will you be able to give some sort of color when this thing isn't just cash?
Jason Boyes: I think the options are all there in terms of whether it becomes a core part of the portfolio, as you say, a proxy for cash. We don't have a strong view or need to form that view now. I don't think the tick stake was a little bit their timing, their ability to -- and willingness to transact on terms that were particularly attractive to us in terms of their mix of shares and cash. So I wouldn't read too much more into that other than it being slightly opportunistic. And we haven't really formed firm views either way in terms of proximity cash or a strategic long-term holding and don't really need to yet. But I do think it's not sustainable or a whole 15% of a listed company for ages. We do have the synergies that are going to come through over the next year or so. I think once those are all fully priced in, then you're probably in a situation where you had to make it a stronger call. But then that feels, I don't know, 6 to 12 months away, in my mind depending on what happens to the market price. So while we're in that period, we'll keep forming our views and seeing how the rest of the portfolio evolves, what happens to other cash flow-generating assets. But in that sort of time period, I suspect we do need to make a call, as you see.
Operator: Your next question comes from Paul Mason from Evans & Partners.
Paul Mason: Just 1 on CDC. I was just wondering if you could make some comments on the power position of the business because you got like about 2.5 gigawatts, including future build in the presentation. Like how much line of sight do you have over that 1.6 future build in terms of the power being secured already? And do you have like short or medium-term time frame, so like any that's not fully firmed to get secured as well?
Jason Boyes: Yes. The question, I have the complete breakdown. I mean, it doesn't really go on the pipeline until we have line of sight on the power. So we'd have line of sight on it. The key point is when it's deliverable, as you're alluding to. And near-term delivery is pretty constrained in both those key markets, and the team are working pretty hard to get as much on as soon as you can in that kind of next 12- to 24-month period because that's where a lot of the demand sits. I don't have the exact numbers. But yes, you couldn't turn on 1.6 gigawatts of power and all those sites today, tomorrow or next year, for sure, it is for delivery in a staged way over those periods, Paul.
Operator: Your next question comes from Stephen Hudson from Macquarie Securities.
Stephen Hudson: Just a couple from me. I just wondered if you could give any sort of feel for what you're seeing in the stabilized data center pricing space. So cap rates around stabilized data center transactions? And then just a further one on CDC. Just on the independent valuation, whether or not the current independent valuation includes Marsden Park densification benefits and fully incorporates the West Australia campus as well?
Jason Boyes: On the first one, we are quite interested in the space funnily enough. So I don't know, 6.5% cap rate for good quality, stellar outcome, people would be pushing for a tad under 6%, which you can see in the old portfolio around the world, but difficult to get as a bit of guidance. The densification now is not in the independent -- the 30 September independent valuation. I'm pretty sure. Andy is nodding here next to me. So yes, that's still to come.
Stephen Hudson: And West Australia campus as well that doesn't look as if it's in there.
Jason Boyes: A little bit, just a little bit.
Stephen Hudson: And maybe, Andy, straight to you, the March recut, is that the most likely timing for the independent valuation term corporate at least those 2 factors, last impact densification in West Australia.
Andrew Carroll: Potentially, I mean, management will need to take a view of it before the independent valuer takes it into account size, I'll put it in that potentially [indiscernible]. I think you're alluding CDC, March valuation or maybe December.
Stephen Hudson: Okay. I'll sneak in one more. I think you've indicated that it may be useful for Infratil to secure a credit rating over time. You've obviously had a significant improvement in your parent operating cash flow position. I think you're sort of traveling at about $160 million. Is that sort of job done or do you think you need to see more improvement there to secure an investment-grade credit rating? And I guess, part B to that, what do you also need to see on the liquidity front?
Jason Boyes: Andy?
Andrew Carroll: Yes. It's something we have turned our mind to Stephen. Part of the answer depends what methodology you pursue, and there are various options. But it's fair to say the metrics that we think are most relevant are beginning to tune up or have already turned up.
Jason Boyes: Yes, I think that's right. And you can see one of them and the change Andy has made and how we're presenting gearing in this pack now run. So that's -- that is one of the measures we think is the more relevant one for what you're talking about.
Operator: Your next question comes from Suraj Nebhani from Citi.
Suraj Nebhani: Just a follow-up to 1 of the earlier questions initially. On the secured power of the 1.6 gigawatt pipeline, is it possible to make some comments, Jason, on that? How much is secured already?
Jason Boyes: As I said, we have a line of sight to all of it. Really, the key is timing, though, in this environment. Yes, when can you get it on. And that's a combination of work with -- what I was trying to say is work with the utilities, but also work on our side of the line in terms of densification and other things we can do on our side. So the team's been great, I think, at getting big watches of power on in good time frames and continuing to be successful of that as a key differentiator for them.
Suraj Nebhani: And then maybe just a related question on the partnership that you've announced recently with Firmus. Obviously, Firmus have been in the press talking about much bigger numbers. Like is it fair to say that Infratil has capacity in the current book to fulfill all of that? Or do you need to grow the business a bit more?
Jason Boyes: I think you'd be looking to grow the business a bit more for all of that capacity. Not all of it will need to be where this first workload is and even may have talked about there he's talking about Firmus. Tasmania site, for example, would be a growth. So CDC is leaning into that relationship because we think it's an important one, particularly with NVIDIA there. But we need to run through our normal underwriting standard as well, and we're looking to at a CDC level, achieve a -- continue to achieve a very attractive mix of customers. So not all of our pipeline is going to go to Firmus or any Neocloud, there will be an attractive mix. So again expansion would be implied in that I agree with that.
Suraj Nebhani: And then in the back, there were some comments around CDC where you talked about the run rate impact of development completions into FY '28. Is that similar to the numbers that were being discussed, I guess, early on, the $900 million in response to one of the first questions?
Jason Boyes: I think -- no, just continuing the full year impact of contracts that come online to hit our 660 or whatever it's going to be in FY '27, isn't going to get you all the way to $900 million. The -- I think the -- but it will get you beyond the $660 million say where we land. So I'm just saying there's momentum through there. To be clear on the $900 million, what I was agreeing with Eric, it's -- it's possible, but not in the bag, we will be needed to sign further contracts, which obviously we're working on. And then so you want have a chance to hit that. And then it would depend on exactly when those contracts convert to billing as well. So a few things need to fall our way for $900 million to turn up as actual. And to be double clear, we're not changing guidance at that point. We're just sort of talking theoretically about how the maths could work, yes.
Suraj Nebhani: Of course. And just one final one on CDC. I'll jump off then is on the CapEx side. The CapEx has gone up this period. Is that a function of just putting more capacity to work and not an increase in cost per megawatt?
Jason Boyes: No, definitely not an increase in cost per megawatt. It's additional capacity and fitting out for new contracts that we've announced in the period.
Operator: Your next question comes from Grant Swanepoel from Jarden.
Grant Swanepoel: I'm sorry, that's a glitch.
Jason Boyes: No, fair enough. Back to you, Harmony. Anyone left.
Operator: [Operator Instructions] Your next question comes from Wade Gardiner from Craigs Investment Partners.
Wade Gardiner: Just giving away from data centers for a second, separation of the teleradiology business within Qscan and RHCNZ, does it have the potential to be material? And how does that affect the strategic review and sale of Qscan?
Jason Boyes: We think it's -- it doesn't detract from the strategic reviews, the strategic reviews going ahead. Telerad is an faster-growing, higher multiple vertical for sure than bricks and mortars. And there's been an opportunity for both the doctor owners, remember we own it with them and for us to grab a position to scale in an interesting market through doing this ahead of the strategic review essentially is how you should think about it. Could it grow to be material? It would be a long road to doing it, but it could given the dynamics much more scalable and not a lot of capital intensity required. To give you a sense of the size, sort of roughly $10 million of EBITDA going across and maybe a couple of million or more of extra OpEx in terms of setting it up and running it as a stand-alone business, from which it should grow from. So yes, that could give you a feel for it.
Wade Gardiner: Right. So that would essentially lower the value of what you're selling?
Jason Boyes: Yes. Yes, although arguably, hopefully, on a total basis, you'll have a higher multiple on the EBITDA. So you should be up.
Operator: There are no further questions at this time. I'll now hand back to Mr. Boyes for closing remarks.
Jason Boyes: Thank you, Harmony. Thanks, everyone, for the questions and the attention. Really, just on a final note, as I said at the outset, we feel really good with where the portfolio is at. With those contract wins at CDC, I don't think our valuation for their business is now particularly challenging. And nor as Longroad, obviously under pressure through that period with a strong demand ahead and the business is well positioned to win new contracts and accelerate for further growth from here on top of already attractive contracted profiles. That stuff isn't in the bag. It needs to land and we need to win it, but we feel good about our prospects of doing that. So I'll finish there. Thank you for Andy and I and see your around.
Andrew Carroll: Thanks, everyone.